Operator: Good day, and welcome to the Sonida Senior Living Q3 2023 Earnings Conference Call. Today's conference is being recorded. All statements today, which are not historical facts may be deemed to be forward-looking statements within the meaning of the federal securities laws. These statements are made as of today's date and the company expressly disclaims any obligation to updates in the future. Actual results and performance may differ materially from forward-looking statements. Certain of these factors that could cause actual results to differ are detailed in the earnings release the company issued earlier today, as well as in the reports the company files with the SEC from time to time, including the risk factors contained in the annual report on Form 10-K and quarterly reports on Form 10-Q. Please see today's press release for the full safe harbor statement, which may be found at www.sonidaseniorliving.com/investor-relations and was furnished in an 8-K filing this morning. Also, please note that during this call, the company will present non-GAAP financial measures. For reconciliations of each non-GAAP measure from the most comparable GAAP measure, please also see today's press release. At this time, I would like to turn the call over to Sonida Senior Living CEO, Brandon Ribar.
Brandon Ribar: Thank you, Camilla. Good afternoon, and welcome to our 2023 third quarter earnings call. I'm joined today by Kevin Detz, our Chief Financial Officer. Earlier today, we posted our Q3 earnings investor presentation, which will be referenced throughout this call as we discuss our strategic priorities and operating results for the quarter. You can find our latest presentation at sonidaseniorliving.com in the Investor Relations section if you would like to follow along. In addition, we have included supplemental earnings within our investor presentation, consistent with the prior quarter release. We are approaching the end of an exceptional year for the Sonida recovery story. I'm incredibly thankful for the contributions from the entire leadership team locally, regionally and in our central support teams. The end of Q3 marked our first full year together as a leadership team. I'm so pleased with the level of collaboration and accomplishments from this group in just 1 short year. Since our last update, our portfolio has experienced accelerated increases in both occupancy and rate that when coupled with stable operating expenses, has delivered margin improvement year-over-year of nearly 600 basis points with September margin exceeding 25%. Portfolio occupancy for Q3 improved 100 basis points sequentially and 150 basis points year-over-year to 84.9%. I'm most encouraged by the strong growth experienced in the back half of the quarter and our continued trend through October. Occupancy averaged 86.2% for the month of October and closed the month with spot occupancy of 87.4%, our highest level in more than 4 years. Our leadership team remains focused on 3 primary drivers of value creation as we close out 2023 and prepare for 2024. First, we continue to focus on maximizing the performance of our portfolio and aiming to approach the key target of 30% NOI margins. We believe operational improvement to deliver all-in cash generation in 2024 is critical to establishing an attractive investment profile for Sonida. Second, we are committed to further strengthening our balance sheet through ongoing efforts to reduce our key leverage metrics, enhance our current cash flow and create incremental value for our shareholders. We continue to proactively work through remaining opportunities to enhance our debt profile. Finally, growing our business through accretive acquisitions and strategic third-party management opportunities provide the third major lever for creating value. Market volatility continues with owners, operators and capital providers reaching key decision points related to investing, financing and operating performance. Sonida continues to engage in discussions with investors, lenders and other stakeholders to identify potential near-term opportunities. Our most recent acquisition of 2 independent living assets in Indianapolis completed last year have grown from 52% occupancy at close to nearly 90% currently, highlighting our ability to quickly integrate and improved performance of communities we take over and introduce our systems operating model. I'll briefly provide commentary on a few key drivers behind operating performance, and Kevin will go into further detail around specific financial and operating metrics. We are still seeing the benefits from our rate growth initiative with both in-place rate increases and positive market rate adjustments contributing to overall rate elevation. We believe the sustainability of our rate profile, combined with an ongoing increase in occupancy demonstrates the value we are providing to our residents. The combination of tenured, high-performing local leadership and high occupancy levels will allow for further rate growth in 2024. To complement revenue expansion, we continue to identify expense management opportunities and efficiencies. Investments and utilization of technology supporting more informed labor management practices at the local level, combined with continued rollout of our market-specific talent sharing program remain paramount to controlling total cost of labor. As referenced in Q2, the expansion of dynamic staffing pools in dense markets and the implementation of monitoring technology to staff based on resident needs has contributed to an 80% year-over-year decline in contract labor, while limiting direct labor increases to approximately 3.5%. Our team is not only focused on addressing lower-performing communities but also enabling our strongest performing communities to reach their full potential. During the quarter, nearly half of our owned communities averaged occupancy of 90% or greater, with these communities consistently achieving the highest mark in customer experience and employee engagement. The company delivered cash flow from operations exceeding $10 million for the first 9 months of the year, a $7.8 million improvement from the same period in 2022. The resulting improvement in run rate cash flows from operations, coupled with the comprehensive restructuring of our mortgage loans, position the company to generate positive cash flow in 2024. I'll quickly touch on 2 exciting internal investments in our people and product that will further enhance our resident experience and clinical capabilities for the long term. In 2022, we designed and launched a comprehensive memory care program, Magnolia Trails. Over the course of the past year, we have seen exceptional outcomes for our residents and their family members through this program, which has translated to improved operations and memory care occupancy of approximately 88% at the end of October, as compared to an average of 83% in 2022. Beginning in Q1 2024, we will launch Joyful Living, our enhanced independent living offering in 14 communities with each of our independent living communities offering the product by midyear. Joyful Living encapsulates Sonida's person-centric approach to wellness in life enrichment, emphasizing well-rounded programming that supports physical and emotional health, intellectual stimulation, individual purpose, social engagement and spirituality. Our goal is to provide residents with a variety of opportunities to achieve their desired potential and enjoy full meaningful lives. On the quality front, we continue to invest in our clinical leadership team as reflected in the recent hiring of a Chief Clinical Officer, Tabitha Obenour. The addition of a talented experienced leader will further expand our clinical offerings and tailor our services to the needs of our residents. From a clinical outcome perspective, our average monthly move-out volume has remained consistent with 2022 as has our average length of stay. Each of our communities will complete the offering of both COVID and flu vaccine clinics with our national pharmacy partners in Q4 with the goal of encouraging safe and social living environments throughout the higher-risk winter months. Turning to the overall market. Stability on the labor front and increases in average occupancy nationally bode well for the ongoing industry recovery. We also support the thesis shared by other leaders in the industry, the demand continues to rise and both supply coming online and planned new construction metrics remain quite favorable. As previously referenced, we are diligently working towards identifying accretive growth opportunities for Sonida that when coupled with our strong operating trajectory have the potential to create significant value for our investors. The uncertainty and volatility in the current capital markets driven by the reduction of capital available and the rapid rise in its cost should yield opportunities for those with a creative approach to investing across the capital structure. In summarizing Q3, our teams across the business continue to deliver on our 2023 operating plan. The results this year have shown significant progress each quarter with Q3 delivering the highest level of occupancy, revenue and operating margins since 2019. The ongoing retention and development of our leadership teams and the effective rollout of new resident programming and technology remain paramount to continuing the growth trends achieved in 2023. Our team is excited to continue building a best-in-class operating platform to achieve the full potential in each of our 71 communities. I'll now turn it over to Kevin for a discussion of the financial results.
Kevin Detz: Thanks, Brandon. I will drill down into some of the quarterly highlights that you touched upon, picking up with Slide 6 and 7. I am happy to report that we have executed on the second and final step to formally modify all Fannie Mae loan agreements with terms provided for the forbearance agreement executed this summer. As previously discussed, this modification significantly improves the company's long-term debt structure and run rate liquidity. Specific terms of the debt modification on all 37 Fannie Mae loans include extending loan maturities to December 2026 or beyond, deferring required principal payments for a minimum 3 years and permanently abating a portion of interest for the 12-month period ending in June 2024. All of this will result in nearly $40 million of cash savings over the revised maturity dates. As a reminder, 2 other significant components were completed in connection with this debt restructure. Ally Bank granted a 1-year waiver of its minimum liquidity test with a phased-in liquidity minimum restored by December 2024. And on the equity front, our largest individual shareholder, Conversant Capital, provided an equity commitment of $13.5 million to further bolster operating liquidity. This additional access to equity provides an important bridge for the company as its all-in run rate cash burn has quickly reduced to levels that support near-term cash flow generation. Just as is important, the availability of equity allows the company to settle its nonrecurring liabilities, the most significant of which are 2 required $5 million principal payments on the Fannie Mae loans, one that was paid on the date of the forbearance this year and one that is due in June 2024. Again, I want to thank Fannie Mae, Ally Bank and Conversant for their collaborative roles in this holistic and successful process, which addresses more than 80% of the company's mortgage debt. Moving to Slide 8, where I will quickly hit on a few important trends. On our 2 previous quarterly earnings calls, we've discussed the company's programmatic approach to push rental rates to levels that reflect the increased cost to care for our residents and provide enhanced engagement activities. Today, we are pleased to report a meaningful 100 basis point jump in our third quarter average occupancy to 84.9%. We're even further encouraged by what we achieved in the last month of the quarter with same-store average occupancy settling north of 85% and spot occupancy on the last day of the quarter at 86.9%, as seen on Slide 9. These new levels of census are particularly meaningful heading into 2024 as we continue to be successful in increasing average rental rates at the same time. From Q2 to Q3, RevPOR and RevPAR increased 13% and 18% on an annualized basis, respectively. We believe this accretive mix of increased occupancy and rate was only attainable because of the continued excellence and stability and our community leadership teams. Their dedication and ability to deliver on resident satisfaction and still confident that the company can drive further top line performance. Using the same quarter-over-quarter comparison, the company's NOI of $14.7 million reflected a margin increase of 100 basis points to 24.9% and represents $59 million of annualized run rate NOI. In comparison to Q3 2022. NOI increased $4.7 million and NOI margin increased nearly 600 basis points on an absolute basis from its 2022 low watermark of 19%. On an adjusted basis, excluding nonrecurring state grants, this year-over-year adjusted NOI margin increase -- still exceeded 5%. In a few slides, I will walk through the underlying operating expense trends, which should continue to support margin expansion. Moving ahead to Slide 10. I will detail some of the positive sustained trends on our rate profile. We realized another strong quarter of rent renewals, which yielded a 9% increase on a year-over-year basis. The in-place lease rate success is complemented by a re-leasing spread increase of 2% for the quarter, which already contemplates an elevated average rate in its base. During the quarter, we saw the composition of Medicaid revenues as a percentage of total revenues increased from 9% to 11%. This mix shift is a direct result of substantial Medicaid rate increases recently passed through legislation that came online during the quarter. Specifically in Indiana, 8 owned communities qualified for the Indiana health coverage programs recent rate increase based on the level of care and acuity services being provided by our community teams. Finally, with 97% of our residents having been formally reassessed and rerated to reflect the care services currently provided, we are now approaching a higher stabilized base for this ancillary revenue stream. This 2023 level of care initiative has contributed an additional $2 million to our annual run rate revenue base. Diving into more of the margin drivers, we will move ahead to Slide 11 to discuss recent labor trends. We are extremely pleased that in this tight labor market and hyperinflationary period, we've been able to control our labor costs. With another quarter behind us, we are seeing further stabilization of our labor base. For the first 2 quarters of the year, labor as a percentage of revenue pushed down from its 2022 average of 48% to 46%. In the third quarter, this percentage was 46.4%, which included an extra calendar day as compared to Q2 as well as the onetime bonus payout in connection with the company's summer sales rally. Excluding the impact from these items yields a sub 46% labor to revenue comparison. Finally, contract labor continues to be limited to a handful of communities where market-specific labor constraints persist. Moving ahead to all other expenses on Slide 12, our nonlabor expenses have remained flat over the last 15 months. Despite the headwinds of elevated inflation over the same period and an occupancy increase of 150 basis points. As a percentage of revenue, year-to-date nonlabor expense decreased 200 basis points from the same 9-month period in 2022. Continued steadying of both labor and nonlabor costs should yield even more opportunities to drive margin expansion due to reduced incremental expenses required to support additional occupancy beyond the company's already healthy base level. Moving ahead to the final slide of our deck, I want to walk through a few debt updates beyond the holistic modification described earlier in the presentation. In the third quarter, 2 loans securing 3 communities within the Protective Life portfolio were sold to 2 third-party lenders. One of these communities was -- 1 of the 4 communities with noncompliant mortgages as of June 30, 2023. To secure its ownership in this community, the company made a $700,000 payment to Protective Life to become current and compliant prior to the sale of loan. Overall, our debt is comprised of 80% fixed rate debt with the remaining variable rate debt fully hedged, yielding a weighted interest rate of 4.9% for the portfolio. Finally, as of today, the company is in compliance with all financial covenants required under its mortgages with the exception of 3 communities mortgage with Protective Life as more fully described in the 10-Q to be filed later today. Pinning on a few observations from our earnings release this morning, G&A, excluding the noncash amortization stock -- of stock comp continues to decrease as a percentage of revenues. For Q3, excluding nonrecurring transaction costs primarily related to the debt mod, G&A as a percentage of revenue remains below 10%, down from 14.5% in prior year. Finally, in Q3, the company recognized a noncash GAAP impairment loss of $6 million related to one community in the Protective Life loan portfolio. In summary, the company continues to be encouraged by the consistent improvement across all significant KPIs over the last 12 months. This operating trajectory combined with the company's modified debt structure has Sonida firmly positioned to take advantage of both organic and inorganic opportunities in the marketplace to drive shareholder value in 2024. Back to you, Brandon.
Brandon Ribar: Thanks, Kevin. I'll conclude today's presentation by once again recognizing and thanking our leadership team throughout Sonida. I have the utmost confidence in this group of leaders to continue delivering high-quality service and care to our residents while running a sound business. It's my privilege and honor to share the success they are achieving as we build Sonida into an industry-leading company. As we approach the end of 2023, I remain optimistic that continued revenue and margin growth coupled with a strengthened capital structure will deliver meaningful earnings growth in 2024. Camilla, please open the line for questions. Thank you.
Operator:
Operator: And with that, this will conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.